Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Nabors Industries Limited fourth quarter 2008 earnings conference call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions. (Operator instructions) As a reminder, this conference is being recorded today, Wednesday, February the 25th, 2009. I would now like to turn the conference over to Mr. Dennis Smith, Director of Corporate Development. Please go ahead, sir.
Dennis Smith: Good morning, everyone. And thank you for joining us again. We’ll follow our customary format today with Gene giving 20 to 30 minutes worth of overview of the quarter and our best outlook as we see it. And then we’ll open it up for questions and limit the time to an hour or so. Besides Gene and myself, again, today we have Unidentified Company Speaker, our President and Chief Operating Officer; Laura Doerre, our General Counsel; Bruce Koch, our CFO; and all the heads of our various business units. I want to remind everybody that, obviously, we’re going to be talking about our look at the future. And as such, it constitutes forward-looking statements according to the Securities and Exchange Act. And things may vary, and we encourage you to look at our various filings for the risk factors and so forth. With that, let me turn it over to Gene to get started.
Gene Isenberg: Thanks. Again, welcome to our conference call for the fourth quarter of 2008. Thank you all for participating this morning. As usual, we have posted, to the Nabors Web site, a series of slides that contain details about the performance of the various segments of the company. Please refer to these as we proceed. Let me start by saying that 2008 was the best year that Nabors ever recorded in terms of revenue and cash flow per share, and was within a few percentage points of our best year ever in earnings per share. Unfortunately, what was obviously a pretty good year was pretty dramatically overshadowed by the reality of the very sharp downturn in the industry starting in the fourth quarter, which is continuing, and which was exacerbated by the fourth quarter non-cash charges of approximately $400 million. This ultimately resulted in the first ever quarterly loss for the company. I’ll spend some time addressing the downturn in the industry and – and for us later. But I first want to take a second or a minute to discuss these non-cash charges. There are two components to these non-cash charges, neither of which will have any effect on operations or cash flow. The first is a $155 million reduction in goodwill in our Canadian operations. We took the accounting oriented approach and reduced the value of this operation since we reported two consecutive years of declining results and we cannot, with any certainty, predict the timing of what (inaudible) inevitable recovery. We did this in spite of the very positive dynamics that are leading and will lead to increased market share for Nabors in Canada. These primarily include the emergence of deeper shale plays, which will actually change, in our view, the face of drilling in Canada. And which, when combined with our more capable rigs, the balance of our rig fleet to its deeper, more capable rigs. And our alliances with key customers, including our own affiliates and Shell [ph], leads us to a – in a very good position. But I’ll elaborate a little bit more on this when we talk about Canada as a business unit. Our other component of non-cash charges is a $250 million reserve impairment associated with our oil and gas operations. This was predominantly in our joint venture subsidiary, our joint venture with First Reserve. And this was related to the application to our reserves of the current methodology for the ceiling test, which is required by the SEC. These reduced valuates – reserve valuations were derived using the closing cash commodity price on December 31st, 2008, which I think – 2008, which I think was around $5.60 for gas. A low price on December 31st is certainly not a good omen. But I don’t believe that this price is reliable as a sole indicator of the ultimate value of these assets. We believe in the future of natural gas and believe this operation will show good results over the long term. Before I turn to the units, I want to take a couple of minutes to address several important, but often overlooked, aspects of our business. During the past few years, we have spent or poured back a significant amount of capital into our business. Most of these expenditures were directed to the construction of new state-of-the-art rigs. The vast majority of which have returns secured by long term contracts with credit worthy customers. As a result of these investments, we have deployed or will soon deploy more than 180 new build rigs, state-of-the-art, mostly AC. Well over half of which are in the Lower 48. In addition to which, we have the largest fleet of high performance, good quality FC – FCR rigs, not necessarily AC rigs, which have undergone major refurbishment and now approached the efficiency of our new build rigs. The other of these high performance rigs comprise almost 70% of our global fleet. The quality of our fleet and our exposure to multiple markets, many outside the US, Lower 48, and Canada, will serve to mitigate the downside for Nabors and enhance the upside. A measure of how well our rigs are performing is the fact that we are now the leading contractor for two of the three biggest majors in the United States. The third one is my alma mater and we’re working on that. We’re also the lead contractor for most of the other majors and a significant majority of the large independents. We hold a very similar position with most of the independent international oil companies and state oil companies, most notably with Aramco in Saudi Arabia. This puts us in an excellent position to weather the current market downturn and to down back – bounce back more rapidly and with greater strength when the market returns. I’d also like to note that while the performance of – preponderance of investor attention is focused on the US land drilling business, probably more than 45% of our projected income and cash flow in 2009 will come from areas other than the Lower 48 and Canada, specifically, international operations in Alaska. None of our competitors approached this diversity of new sources. I would also like to mention that we are witnessing a paradigm shift in the way wells are drilled and in the rigs required to drill them. The most impactful [ph] example of this is the emergence of the shale plays, which I don’t believe is fully understand – understood by – by most people, including those in the government. The most important example of this is the emergence of the shale plays and horizontal drilling and the higher hydraulic power required for those. And this, overall, is creating – US and Canada is creating an advantage for us longer term. And these rigs, in spite of what some folks are saying, these rigs are maintaining a value and utilization in the downturn. Although, this is supposed to be our tunnels to wash out. And we believe that the value of these high quality rigs will, in the future, be even more dramatically demonstrated. Let me switch to our units, Nabors Drilling, USA. We reached a record level of operating rigs in the fourth quarter, topping out at 273 rigs in October. The rig count began to fall pretty rapidly at that point. And we exited the quarter at 230 rigs. Averaging 260 rigs for the quarter. Our customers are taking some pretty dramatic and quick steps to reduce capital expenditures as we go. But to their credit, they continue to honor their correct contractual commitments. And to our mutual credit, none of them has gone bankrupt. And we don’t expect that to be the case. Let me tell you, we now are getting paid, one way or another, for 190 rigs. We actually have 160 rigs working right now. So the 160 rigs is really a measure of the downturn in activity. Of the difference, nine rigs – in other words, nine rigs have been prepaid for. The operator came to us and we negotiated settlements of – they generally took an interest related discount to the value of their payment obligations. They paid us to cash, and we had – now have the rigs. In the other cases, they’re paying on a – on a standby basis where, in essence, we’re getting the margin we would have gotten had they worked. And those will either continue that way or some of the operators will probably decide to pay cash and eliminate the term obligations. Basically, we received $5 million in lump sum payments in the fourth quarter. But in the next year or 15 months, we think that the settlements – cash settlements could approach $100 million. Now this doesn’t, obviously, obscure the fact that the rig count is coming down pretty dramatically. It does provide a pretty substantial financial cushion to us. Anyway, these rigs – now these rigs represent some of the best state-of-the-art rigs we have. And what we’re doing is doing our best to remarket these rigs. And we do that and we save CapEx and – and, in effect, provide a client with a rig that’s broken in. All the bugs are out and, essentially, state-of-the-art. We continue to set new drilling records with our – and our market share has steadily increased through the year. We’re the largest market increase during the current downturn. But this is the hard way to increase market position. That obviously says that some of our competitors are dropping way more rapidly than we are. Let me switch to international. Our international operation was up substantially over the prior year. Although we had not the greatest quarter-to-quarter results with some hickeys [ph] that, hopefully, are in the past. And despite all this, I believe that we will achieve an increase of – in operating income this year about $100 million. Our biggest market seems to be holding up well. For example, in Saudi, we are currently operating 29 rigs. One high-step rig was recently laid down by LuxStar [ph], I think. And that’s already been contracted, work in 2008. We have four rigs up for renewal this year, and we think at least three will be renewed. And while there – meantime, I think overall, there is potential for incremental gas rigs during the course of next year. I think you all know that – that a big percentage, actually about 60% of the Saudi natural gas production, is from Associated Gas. So when the crude production comes down, the gas available, it diminishes. And that has to be replaced. And they’d rather replace it with gas than with liquids. In addition to which, the Kingdom’s requirement for gas continually increases for desalination, and fertilizer, and all that other stuff. So the outlook – yet, in spite of everything that’s going on, we probably will have a shot of increasing our rig count or switching from oil rigs to gas rigs, which is an incremental investment and a much higher market. We have other sites and positions in the Middle East and North Africa, particularly Algeria, Oman, and Yemen. Their activity is holding up pretty well. And we have prospective opportunities in other countries in the region. The other significant component of our international results seem to be resilient to the current environment. With Mexico, it’s actually increasing their activity with the drop in their production from legacy reserves and Colombia. Some of the other areas, Argentina, Ecuador, Venezuela, and even Russia, are more problematic. We hope those situations will improve in the future. But in the meantime, we’re not relying on those specific markets for very much at all. All in all, we expect our international business to see further increases not only in 2009, but also in 2010 given the nature of our rig fleet, our reputation, and our position in these important markets. Canada. Our Canadian operations finished the year at $61 million in operating income, down from $81 million in 2007, which was also down from $187 million in 2006. So we have to think that the bottom is in sight. The most prospective areas in this market are the shale plays in British Colombia, particularly the Horn River and Montney. Wells in these areas require much more sophisticated rigs, which, obviously, favors us. We expect to have eight to ten of rigs. And that’s a big percentage of our fleet in this region this winter season, where a year ago we had none. We also have, as we’ve said, a large E&P precedent ourselves and with our joint venture in that area. Both of which are active, and both of which give us insight as to the way to drill these things. One of our rigs will be, probably, the first year-round operation in Horn River. And we are the leader in technology in this area too. We have, I think, nothing super unique in this area. But I think we have established capabilities and have rigs. And we basically have two kinds that are in operation. One, where there’s a large number of drills – rigs to be drilled on a pad. And another is where there are a smaller number of rigs. Anyway, in addition to our joint venture and owned acreage in these shales, we have important customer alliances in the market, most notably with Shell. And Shell recently purchased, I don’t know, within the last six months Duvenei [ph], picked up a substantial amount of prospective areas, a lot – a large part of these shales. And they have notified their competitors that they were placing their rigs with Nabor’s rigs after break up, which should be five or six incremental rigs. We’re very appreciative of our relationship with Shell where we have an alliance that gives us all their rigs in the US and Canada. And we have, I think, four years left on that. And I think we’re happy and Shell is happy that we earned that with performance. While the Canadian operation itself is very challenging, especially over the last two years, we’re optimistic about the longer term future given the specifics, some of which I’ve outlined above. Nabors Well Servicing. This unit has posted a good quarter. But the downturn that characterized our North American land drilling market has probably been even more pronounced in this market. Rig hours are shrinking rapidly, with the most recent weaknesses in carrying Colombian West Texas. Operating income is bolstered somewhat by the (inaudible) handling and disposal elements of our business, which are chemicals. Pricing has often softened in these markets and will have a significant impact on our results, although the big problem is utilization. Our current expectations are, for this year, to be down a little bit more than a third from last year. Nabors Offshore. I think we had a good year. It’s not an enormous unit. It was the best results we’ve had. The actual numbers are in your data. And basically, we expect this year to be essentially a continuation in spite of the softness in the Gulf. Nabors Alaska. Again, it’s a relatively small unit, but we’ve had pretty sizeable increases. We went from $37 million operating income in ’07 to $53 million this year. And we expect to be up again next year. Other operating segments. We’re doing pretty well in the other operating segments, and we have done pretty well. But I would say that Canrig and Ryan together is probably going to have a 50% drop in what we had projected as recently as three, four months ago in their operations. But let me give you an example of some of the things that come out of this. In Canrig we’ve developed a so-called rocket technology, which is a directional drilling product that has gained favor. It’s going to make a fair amount of money, actually make a fair amount. More important is it enhances Nabors’ image as being the developer and user of the highest technology in the industry. And some of our keenest competitors are actually using this stuff. I won’t mention their names because otherwise they’ll stop. Anyway, oil and gas. This unit experienced a hit that we discussed earlier, but it’s non-cash in nature. None of this should obscure the inherent long term value and unrealized potential of our significant acreage in highly prospective areas. We currently have holdings that are significant for us, anyway, in the British Colombia shales, which we’ve discussed, in Haynesville, Fayetteville, Barnett, and other areas. Our own rigs will be a higher – or will increasingly be drilling on these prospects. Let me point out that while this unit is only 7% to 8% of our capital employed and it’s been a much, much bigger percentage of the noise recently with the impairment, it really helps us to understand our customers’ needs and talk intelligently to the clients. When we have our own rig working 12 months in an area that other people aren’t used to doing, we can show them that it’s feasible and how we do it. It enhances our ability as a drilling contract, but it also provides, in our view, longer term profit for the company. Turning to the financial picture, our financial position remains solid, and we’re taking a number of steps to enhance it. To this end, we have a ready, severely curtailed capital expenditures, and we’ll continue to do so. We’ll do so. Although we have money available for any really good opportunity that presents itself that’s not a risk. And that fact, I think, gives us a competitive advantage over some. We’re continuing to further reduce working capital and SG&A expenses. This will enable us to substantially increase our generation of cash flow. In addition, on January 7th, we took advantage of the opening in the debt markets to access funds that were previously not available, and subsequently, frankly, we had a good window. We couldn’t do anything before then. And after that it would have been even much more expensive to do that. So we raised $1.125 billion cash. And if we pro forma this at the balance sheet, at the end of our year, we would have had – in other words, what we actually had in pro forma existing as of January 1st, we would have had $1.9 billion in cash at that time. So in the near future, this year, we’ll reduce pay down of debt to $25 million. In general, what we’re going to be doing is dramatically reducing even the historical debt-to-total-cap because we’re going to be deeply regenerating and be prepared to ride out the market that, hopefully, it won’t last for a little bit, it might last easily for two years. In summary, I want to say that while no one can be certain at how extensive or protracted this downturn will be, I am highly confident that Nabors will stay up pretty, and we’ll emerge on the other side this downturn stronger than ever. And I’ll take your questions now.
Dennis Smith: Operator, we will open up to questions and answers now please.
Operator: Thank you, sir. Ladies and gentlemen, we’ll now begin the question-and-answer session. (Operator instructions) Our first question comes from the line of Marshall Adkins with Raymond James. Please go ahead.
Marshall Adkins – Raymond James: Good morning, guys. We’re hearing numbers all over the board right now in terms of where leading edge rates are. Obviously, you’re going to be supported by a lot of fixed contracts. So my question is, where do you think margins are you heading? I know you can’t look at all year, let’s just say the next quarter, both in terms of leading edge and blended average of your contracted stuff.
Gene Isenberg: The blended average is going to be pretty good. And frankly, it’s going to be enhanced. I can’t separate out all of these elements right now, but we can do it online later – offline later. In other words, we have to book the cash that we get as the prepayment for three months, three weeks, two years settlement of commitment contracts or commitments.
Marshall Adkins – Raymond James: You book that all at once, right?
Gene Isenberg: Yes. We have to book it when we get it.
Marshall Adkins – Raymond James: Okay.
Gene Isenberg: I mean it’s a high class problem that it screws up the average margin per day. Then basically, we’ve been doing pretty well on – let me put it this way, when guys cut back, largely they’re cutting back across the board. They’re not saying, “I’ll cut back if you come down 30%. Then I won’t come back if you cut down 35%.” So we’ve had very little of that. We are in the competitive market like everybody else. And I would say, so far, I would say maybe a 35% drop in margins for the more prominent rigs, our (inaudible) rigs compared to what it was earlier. I’ve heard, for example, our good friend, David, he was – he bought – he was able to contract the rig for $10,000 a day plus $1,500 top drive in the Haynesville shale. And I think, God bless him, good luck to him, we don’t have to do that. And frankly, that particular chap has his own drilling plate. So I don’t know why he’s cutting down. But further on that point, most of those rigs are resold and restocked. So I wonder if he’s making any money compared to us, (inaudible). But in any event, Marshall, I don’t know where it’s going to go. It’s dropping pretty fast, I mean, when I looked yesterday, the gas price was around $4 here and it was $2.60, $2.65 in Mid Continent and the Rockies. And people aren’t going to drill. And it’s not going to be they’ll drill – as I said a minute, they’re not going to drill for two hours a day and not drill for 15 a day. It’s just some of that, but not very much. That isn’t the bulk of what the industry is seeing now.
Marshall Adkins – Raymond James: Okay. Let’s synthesize, I’m making sure I understood what you’re saying. Ballpark here, leading us down maybe 35%, but at least for the next quarter or two. Your numbers are going to be pretty noisy. It may even seem margins are up because you’re booking all of the contract inflations all immediately.
Gene Isenberg: The underlying numbers are not terrific either. But we don’t have those right today. We’ll get them, but we don’t have them now.
Marshall Adkins – Raymond James: Okay. Second question, walk me through your CapEx plans. And you had mentioned Canrig’s down, where you sit on ordering drill pipe and parts? And how has that whole thing play out?
Gene Isenberg: We have pretty good relationships. Probably, our largest – one of our very largest vendors is National Oil Well, and may now have the drill pipe as well as you know. We’re able to cancel without penalty stuff or not order stuff that we otherwise would have ordered without penalty. Frankly, I don’t want to – not the – I don’t want to say how well the day rates are, but prices generally are coming down from all of our vendors. That’s in compliance with what we have to do on the cutting edge with our customers. So it’s not a big problem, not even a material problem for us. Because for example, if we have pumps that we ordered for new builds that were not – that were not going to come to fruition, we used those in the course of the hundreds of rigs that we have running all the time. We use those up anyway. And if we had excess drill pipes, which we probably don’t have too much of, we do put all our rigs running, we’d use that anyway. So it’s not like we have 10 rigs and reordered for five more rigs. Now we got 50% excess inventory. So the problem is – we’re working on it the other way around, “How can we reduce prices”, compared to, “How can we worry about inventory?”
Marshall Adkins – Raymond James: And then how about over all CapEx plans year-over-year?
Gene Isenberg: Well, this year we did – what did we do?
Dennis Smith: 1.7.
Gene Isenberg: One point what?
Dennis Smith: 1.7.
Gene Isenberg: 1.7, okay. 1.7. Next year it’ll be, at most, 1.1. I mean this year, 2009. And next year, we’ll probably be – unless there’s a pretty dramatic shift, which would be a high class problem, it won’t be more than, say, 600. And depreciation this year is 700. Next year, it will probably be somewhat higher. We’re cutting back pretty dramatically.
Marshall Adkins – Raymond James: Right. So by roughly 40% reduction or so this year, then continue to drift lower next year unless something changes.
Gene Isenberg: Yes. Because some of the obligations we have for new build, so. To run out, we build the new builds, then we supply them. We don’t have increasing with that.
Dennis Smith: That’s the actual CapEx in here.
Gene Isenberg: Okay. Okay. So I guess that it might have been close to $1.6 million CapEx for ’08. And we’ll be – my guess is it won’t be any more than 1.1, and it could easily be less than that.
Marshall Adkins – Raymond James: Great, Gene. Thanks.
Operator: Thank you. Our next question comes from the line of Kevin Simpson with Miller Tabak. Please go ahead.
Kevin Simpson – Miller Tabak: Good morning, Gene, and thanks for the comprehensive rundown in the tough environment. I wanted to delve a little bit more into overseas, your prospects and risks starting with Saudi. I have been under the impression that Aramco’s going to cut much of what was coming off contract in any given year. And so, you may be able to detect their activity down by – maybe by as much as half over the next 18, 24 months. I guess, what’s your vulnerability to that? And why you sound pretty confident in Saudi Arabia?
Gene Isenberg: Yes, I would think the intrinsic facts, however, are not conducive to super bullishness. I mean, jack-ups are now priced half of what we locked in contracts for. So we’re going to have to be on our toes to make sure that there’s no excuse for termination for cause. I think that we only have four rigs expiring this year, and I think we’ll be okay there. I don’t know what we have expiring beyond that. But also, I think it’s not trivial to emphasize the significance of increased gas requirements in the kingdom because they’re big time more capital investments per rig and more license per rig. And we have, in a number of instances, pre-invested, in a sense, that we have oil rigs that can be – with modest investment upgraded to gas rigs. And we have a tiny handful of speculative rigs that we built, which will be available to go to Saudi for the gas projects. I mean, the environment is horrible, but as far as we know and based on the facts I’ve told you, that we think we’re okay for at least another year. And if somebody’s projecting what’s going to happen in 2011, God bless them, we don’t know.
Kevin Simpson – Miller Tabak: Okay. You think, based on what you know, you think that it’s – that those gas rigs could be working before the end of the year? Or is that–?
Gene Isenberg: Yes. Yes.
Kevin Simpson – Miller Tabak: Okay. You mentioned Kuwait, maybe I’ve been asleep. Let’s switch a little bit, let’s say–
Gene Isenberg: It’s kind of new.
Kevin Simpson – Miller Tabak: New country. Is that a one-off thing? Or is there going to be more rigs?
Gene Isenberg: Well actually, it’s the two happening at the moment.
Kevin Simpson – Miller Tabak: Okay.
Ricky [ph]: (inaudible) Kuwait has a five-year plan. And this is Ricky [ph], Kevin. Kuwait has a five-year plan. And basically, more rigs are coming out. So we move in there just expecting (inaudible) –
Gene Isenberg: But these are big rigs with decent margins.
Kevin Simpson – Miller Tabak: So I figure these would need to drill – then the same thing, drill deeper to deeper deposits and drill for gas as well?
Ricky: These rigs are targeted for gas. But the plan is also to be (inaudible). I’m looking at the medium-sized rigs to do some oil drilling as well.
Gene Isenberg: We got blanked in the last tender. And that was with (inaudible) and (inaudible), two existing rigs renewed there. And the other dozen or so are going to be Chinese rigs for local contractors. But once they get to nose it, I’m sure we’ll get lots and lots of work.
Kevin Simpson – Miller Tabak: Okay. And then you mentioned Russia more negatively. I mean, what’s the status–?
Gene Isenberg: I mean, I hope it improves. But right now, everybody in there is just cutting like crazy. And we had a letter of intent for six rigs. And it’s a good thing we didn’t try to pay people with a letter of intent. But–
Kevin Simpson – Miller Tabak: So that LOI is, to quote Gene Isenberg, “It started with (inaudible).” Is that a – or is just that in limbo at this point?
Gene Isenberg: Maybe a decade from now, I’d say is in deep limbo.
Kevin Simpson – Miller Tabak: Deep limbo. Okay.
Gene Isenberg: Obviously, NKBP. I don’t wan you to be mistaken.
Kevin Simpson – Miller Tabak: Right. Okay. And do you – it seems like you’re pretty much internally focused, cash flow focused at this time, which seems to me to be exactly the right thing to do. But the do you – is there anything you might do strategically out there or is it just too soon to be able to tell what label end is?
Gene Isenberg: We’re looking at things. But on the one hand, it’s a little bit difficult. There are things that we would have the gumption to do if the situation were not so uncertain. The only problem is we would have the gumption to do it when the prices were 50% higher than they are right now. So we’re looking at stuff all the time. And the story is, we’re kind of total capital – ours is going to be required, not only for equity, but for debt with the situation is with respect to debt that we assume and how that figures in our over de-leveraging projects. And all those things – we’re looking all this time, but I don’t think anything’s remotely close to front burner now.
Kevin Simpson – Miller Tabak: Okay. Thanks, Gene. That’s it for me.
Gene Isenberg: Thank you.
Operator: Thank you. Our next question comes from the line of Jeff Tillery with Tudor Pickering Holt. Please go ahead.
Jeff Tillery – Tudor Pickering Holt: Hi, good morning.
Gene Isenberg: Good morning
Jeff Tillery – Tudor Pickering Holt: You touched upon the couple of, how do you call them, hickeys, the jack-ups being done in Saudi and the increased expenses in the quarter. If everything had gone well internationally for the quarter, can you give us a feel for what’s the operating income would have been this quarter? Are we talking of a run rate you’re looking at for 2009?
Gene Isenberg: No. Not quite that, but it would have been – the year would have been $420 million, instead of – what was it?
Unidentified Company Speaker: $437 million [ph].
Gene Isenberg: So we missed $15 million –$13 million, $15 million.
Jeff Tillery – Tudor Pickering Holt: Okay.
Gene Isenberg: And the run rate should be – if we’re right, we say it should be approximately a $100 million more. The run rate should be a $100 million divided by four for quarter more.
Jeff Tillery – Tudor Pickering Holt: Sure. And then in that $100 million year-end increase, could you – you talked about the rollover in Saudi. Could you just give us a little color on what you’re assuming or to what degree you have underlying existing contract rollovers in the other countries?
Gene Isenberg: I’ll let digging at them. My guess is two-thirds of it is a contract business.
Unidentified Company Speaker: We have more than 70%.
Gene Isenberg: See, I understate everything.
Unidentified Company Speaker: More than 70% on the (inaudible).
Jeff Tillery – Tudor Pickering Holt: And are you as optimistic on those other rollovers as you are about Saudi at this point?
Unidentified Company Speaker: I think that Gene might have already mentioned that – in North Africa and the Middle East I think. I guess we are.
Jeff Tillery – Tudor Pickering Holt: Okay. And my last question. Could you just talk about – within the $1.1 billion CapEx or so budget this year. What’s left to be delivered Lower 48 international just to give us a feel for what magnitude of assets will be coming out during 2009?
Gene Isenberg: Joe, you want to give him a range of what incremental asset is included in the CapEx for this year and next year for per number of rigs.
Joe Hudson: That’s about (inaudible) on the CapEx.
Gene Isenberg: Just how many numbers of rigs? When we had our last conference, I think we’ve said we had 30 perspectives.
Jeff Tillery – Tudor Pickering Holt: Right. I didn’t know if–
Gene Isenberg: Now the number is slightly lower because what we’ve done is we’ve taken rigs that have come off contract that we described earlier. And we’ve made adjustments and negotiations with various incendiary clients that operate those. So that they’re essentially the same as new. And we negotiate so that it’s mutually advantageous to do it net net. So the client gets the same or a better rig. Net net, we’ve saved CapEx. And frequently, in doing this, what – what we have to – what we get from – it doesn’t have to come a 100% from the client. Sometimes it comes from competitor rigs. That’s the way it’s been working the best. How many rigs? I’m trying to figure it out, 20 to 25 rigs.
Jeff Tillery – Tudor Pickering Holt: Okay. Thank you.
Gene Isenberg: I think it has only four.
Jeff Tillery – Tudor Pickering Holt: Well, four international, and then 20 to 25 domestic. Okay. Thank you very much.
Gene Isenberg: Yes.
Operator: Thank you, sir. Our next question comes from the line of Roger Read with Natixis Bleichroeder. Please go ahead.
Roger Read – Natixis Bleichroeder: Hi. Good morning.
Gene Isenberg: Good morning.
Roger Read – Natixis Bleichroeder: Looking at, I guess, the other side of what goes on in the US now that we’ve got the slowdown underway. What happens on the cost side? And how much leeway do you feel you have on the cost side, whether we’re talking drilling, well-servicing, or the jack-up market?
Gene Isenberg: We’re cutting costs. I’ve meant to have a total of play offs company-wide, but it’s fairly substantial. I would guess we’re aggregate scores of million of dollars of overhead savings. As you know, when a rig goes down, the number of people on the rig essentially gets terminated. We may keep – and high-grade individuals (inaudible) better. So the rig crews at the rig level, they have variable costs totally. And there are some semi-variable costs and some overhead costs. If our rig count is down, we’re down from 273 I guess, to 162. So that’s a sizable percentage, which we think we’re going to have to – and in fact are cutting back, which normally would be considered overhead fixed cost positions as well. So I don’t know what the number is, but we’re cutting costs. And as I’ve said earlier, I don’t want to embarrass any of our vendors. But everybody is realistic in life. And hopefully those costs are coming down as well. So we’re cutting our own costs down and we’re cutting – trying to and succeeding as we speak, on cutting down some of our cost from vendors.
Roger Read – Natixis Bleichroeder: Okay. And then kind of getting in concert with your comments about the increasing change towards the shale plays horizontal drilling. What do you see happening with your own rig fleet in terms of rig scrapping and maybe in broader outlook on the overall US Lower 48 sector for where we’ll be in terms of the number of rigs active or needed over the next two years as we transition to the shale play? And I mean, thinking of the 283 rigs you have available, I mean we end up with – it’s mostly, I don’t know, a 180 of these, the newer rig, paste rigs, and so forth.
Gene Isenberg: We’ll have to wait and see. I can tell you, we’re not spending a ton of money on small mechanical rigs. So we’ll basically – I don’t see any point in saying we’re scrapping 50 rigs and that’s going to help the industry out. I’m not a big believer in that. But we’ll cannibalize them, and when the time comes that they’re not worth keeping to cannibalize, we’ll scrap them. And I think we in the industry are going to be using far fewer of these shallow mechanical rigs down the road.
Roger Read – Natixis Bleichroeder: All right. Thanks.
Operator: Thank you, sir. Our next question comes from the line of Arun Jayaram with Credit Suisse. Please go ahead.
Arun Jayaram – Credit Suisse: Good morning, guys. Gene, I was wondering if you could elaborate a little bit on how much term contract exposure you have in the USA. As of the last conference call, I believe you had about 90 rigs under term contract. I was wondering – and this is from a term perspective, how much operating income do you think you have locked in for 2009?
Gene Isenberg: Joe, do you have the number?
Joe Hudson: Well, I have it right here with contract over 130 [ph] rigs, about 135 [ph] we have under term. I don’t have a breakdown specifically on the operating income specific to those rigs.
Gene Isenberg: We’ll have to get that because, basically, some of them switched from an obligation over 12 months to a cash payment having slightly smaller numbers right away. And we haven’t split all that. But we’ll do it, and it will be available, say, in a day or two offline.
Arun Jayaram – Credit Suisse: Okay. And Joe, any sense of how many rigs for 2010 you have committed?
Joe Hudson: Yes. It’s in the 60 plus range for terms into 2010.
Arun Jayaram – Credit Suisse: Okay. That’s helpful. And Gene, the $100 million of early terminations, is that going to be front end loaded or could you give us a sense of what the mix can be throughout the year?
Gene Isenberg: I really don’t know. My guess is it’s front end loaded though.
Arun Jayaram – Credit Suisse: Okay.
Gene Isenberg: It’s a pleasant surprise that – well obviously, compared to stuff we read about offshore stuff. Nobody goes on bankrupt yet, and it doesn’t look like it is because we – before we commit to a multi-year contract, we do a pretty careful assessment of credit line units. And once in a while, they have to supplement the stand alone credit of the customer. And I don’t know, I think – I forgot the rest of the question, frankly.
Arun Jayaram – Credit Suisse: That’s all right. It’s been a long call. Gene, also for the oil and gas segments, can you help us – give any guidance for operating income in 2009?
Gene Isenberg: Yes. I think the operating income, primarily, much of our historical operating modus operandi has been we have partnerships with various incendiary people away from the joint venture partnership. And what we do with those is we work with guys and we prime them for sale. In other words, you buy the acreage pretty cheap where you drill as many wells as you can so that you optimize the difference between what you’ve spent and what you’re going to get. And part of the income that we think that we’re due to have this year, probably, it is a function of selling some stuff. And in this market, it’s not as certain. In fact, it’s pretty bloody uncertain. So I can’t tell you. But we have probably in our forecast that I gave you, probably, $100 million of income at risk with respect to that. But that’s almost certainly a deferral. That’s not gone forever kind of thing.
Arun Jayaram – Credit Suisse: Okay.
Gene Isenberg: And also the – we have a tremendous amount of noise. It isn’t that we had bad option out there, we bought that option with the revenue going like that. It’s just that a pure accounting way of having to account for the impairment text. And as I’ve said, the impairment based on prices as of December 31st last year. And bloody frankly, I’d be shocked if we don’t have another impairment march 31st. But this says we have a total of maybe a $1 billion in this business. And you have a $200 million hit and that doesn’t mean any at all that the stuff isn’t worth well more than a $1 billion in the first place, much less go down to $800 million. So that’s a lot more noise than it is significant, particularly the write down.
Arun Jayaram – Credit Suisse: Last thing, Gene. I did note in the press release you bought back some of your debt. What are your plans regarding that? And how much debt have you bought back through the end of December?
Gene Isenberg: We’ve had some pretty complicated tax considerations on that. We bought back and will buyback as much as we can of the debt maturing this year, which so far has been probably $60 million. We had announced it last year that we bought back $100 million of our convertible debt due in 2011. And we’re currently – and we’ll buyback more of both as it becomes available. There’s a little issue that has to be resolved on the convertible debt. Namely, we have a 6% interest deduction that we get, even though the nominal interest rate is – what?
Unidentified Company Speaker: 0.94%.
Gene Isenberg: 0.94%. So it’s a little complicated that way, considering tax expenses of buying it back. But basically, when we buy it back or if de facto have the money to buy it back, I think the point is we’re going to be – we’re going to have – I’m pretty comfortable we’re in position to substantially de-lever in the next couple or three years.
Arun Jayaram – Credit Suisse: Okay. Thanks a lot, Gene. I appreciate it.
Operator: Thank you. Our next question comes from the line of Dan Boyd with Goldman Sachs. Please go ahead.
Dan Boyd – Goldman Sachs: Hi. Thanks. Hey Gene, you gave a lot of great detail on the international business. I just wanted to confirm that of the $500 million or so in operating income, you’re expecting 70% of that is under contract?
Unidentified Company Speaker: More than 70%.
Gene Isenberg: More than 70%.
Dan Boyd – Goldman Sachs: Okay. And can you provide some color on where you’re seeing land rigs being renegotiated, say in Saudi, it’s 50% down for jack-ups, 35% down for the US land, but where are we in the international land market?
Gene Isenberg: What do you expect the prices to be on the new gas rigs, Ricky?
Ricky: Next year, the market for the gas range in Saudi will stay pretty much the same the way it is because there’re still not enough of these rigs around. And I think the rates will stay pretty much where they were before. (inaudible)
Gene Isenberg: Where the margins are?
Ricky: The margins are probably off the text, I would say, 18% depends on–
Gene Isenberg: I think when they really need something, they’ve been known to calculate the probability of it working compared to the nominal price.
Ricky: (inaudible) rigs need to be marketed a little bit.
Gene Isenberg: We don’t know yet, but that – we’re not counting much of that, if any, in the $100 million increase.
Dan Boyd – Goldman Sachs: Okay. How about the two rigs that you just signed in Kuwait? What type of – was there a step down in day rate you had except for those or we’re pretty much overall at the same rate?
Unidentified Company Speaker: A little bit of mid-point one. Those rates are actually much higher than the rates in Saudi, but the operating expense is higher, and the CapEx expected is slightly higher too. It has some higher reservation on the month. For example, the POP says that it’s sophisticated than Saudi. So it’s not a good comparison, but the rate is significantly higher than in Saudi.
Gene Isenberg: But those weren’t rolled over. Those were our first two rigs.
Dan Boyd – Goldman Sachs: Okay. And then on US land, you might not have these calculations yet, but of the 160 rigs that are currently working, did you have an average–
Gene Isenberg: I can’t give it to you, unless you know something we don’t know.
Dan Boyd – Goldman Sachs: Did you have an average margin for that 162?
Gene Isenberg: Yes. You probably do. It’s complicated because of the – you have it handy, Joseph?
Joe Hudson: I don’t have it right now.
Gene Isenberg: If you blend everything in and take out, I know you can’t do it, take out the pre-payments? Or take in the–
Joe Hudson: Do you want–?
Gene Isenberg: Yes. Right now.
Joe Hudson: Do you want about–
Gene Isenberg:
Gene Isenberg: The average is their – it’s like a fruit salad with grapes and coconut.
Dan Boyd – Goldman Sachs: So what we’re basically looking for next quarter margins to rollover right around the same rate then plus the increase that you get from the $100 million or large percentage of $100 million of cancellation payments.
Gene Isenberg: Yes. That’s a mixed emotion for capital. For example, if we have new build rigs at contract prices at high margins – and this isn’t going to happen, but if everything disappear, the average amount would go up.
Joe Hudson: To two (inaudible) at least.
Dan Boyd – Goldman Sachs: Got you. All right. I appreciate it. Thanks.
Gene Isenberg: Operator, we’re closing in on an hour here. So let me limit to one more question.
Operator: Thank you, sir. And our final question comes from the line of Mike Urban with Deutsche Bank. Please go ahead.
Mike Urban – Deutsche Bank: Thanks. Good morning. The only question I have left, and you touched on this a little bit with respect to (inaudible). It doesn’t sound like anything is imminent. You’re at a lot of markets both around the US, North America, globally, and also different business, not even the drilling rig business. Are there markets or business lines that look more or less attractive either in terms of valuation or opportunity set? Or is it just kind of across the border or a little too early to say?
Gene Isenberg: I agree with you. I think it’s really too early to say. Everything is attractive given an expectation of nominal fee sometime. I mean, even our most fierce competitors I think are relatively cheap on a normalized basis.
Mike Urban – Deutsche Bank: And if you do it another way, is there anywhere where the pain factors is a little higher now, or expectations, or asking prices have come down? Or is this all just happened too fast and we don’t know?
Gene Isenberg: No. I think what’s likely to happen is not in our mainline of business. But I think it’s in – there are a lot of guys who aren’t going to have access to capital. And they have lease commitments that they can’t meet, and a whole bunch of other stuff. But I don’t see any – I mean, the public companies that have troubles are pretty obvious. And I don’t – in our business, we don’t have to – we got our own problems. We don’t have to worry about theirs. But they’re obvious to you, and nobody’s going to buy the ones that are obviously in big trouble. Because even if the market caps are like $200 million or $400 million, there’s big debt associated with it, and uncertainty on our own de-leveraging requirements. We were fortunate to borrow $1 billion. And I don’t know what’s going to happen. I mean, normally you make a good acquisition and you get financing or the equity tying up, which it isn’t used equity. And so now, the equity market isn’t available willingly to be a source of financing. And the debt market is extremely restricted. And I think this is true for the guys in private equity too. They have an array of difficulties.
Mike Urban – Deutsche Bank: Okay. That’s all for me. Thank you.
Dennis Smith: Ladies and gentlemen, that’ll conclude our call today. We want to thank you for participating. And if you have a question that you didn’t get an opportunity to ask, just feel free to call us. Thank you.
Operator: Ladies and gentlemen, this concludes the Nabors Industries Limited fourth quarter 2008 earnings conference call. Thank you for your participation. You may now disconnect. Have a pleasant day.